Operator: Thank you for standing by. Welcome to the DraftKings' Q2 Earnings Conference Call. At this time, all participants are in listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] As a reminder, today's conference call is being recorded. I would now like to hand the conference over to your host, Mr. Stanton Dodge, Chief Legal Officer. Sir, you may begin.
Stanton Dodge: Good morning, everyone, and thanks for joining us today. Certain statements we make during this call may constitute forward-looking statements that are subject to risks, uncertainties, and other factors, as discussed further in our SEC filings, that could cause our actual results to differ materially from our historical results or from our forecast. We assume no responsibility to update forward-looking statements other than as required by law. During this call, management will also discuss certain non-GAAP financial measures that we believe may be useful in evaluating DraftKings' operating performance. These measures should not be considered in isolation or as a substitute for DraftKings' financial results prepared in accordance with GAAP. Reconciliations of these non-GAAP measures to the most directly comparable GAAP measures are available in our earnings presentation, which can be found on our website in our quarterly report on Form 10-Q filed with the SEC. Hosting the call today, we have Jason Robins, Co-Founder, Chief Executive Officer and Chairman of DraftKings, who will share some opening remarks and an update on our business; and Jason Park, Chief Financial Officer of DraftKings, who will provide a review of our financials. We will then open the line to questions. I will now turn the call over to Jason Robins.
Jason Robins: Good morning, everyone, and welcome to DraftKings Q2 earnings call. I want to touch on a few topics today. Let me start off with my thoughts on Q2. I'm really pleased with how we performed in the quarter. We generated $466 million in revenue, which exceeded the midpoint of the guidance we provided on our Q1 earnings call by $33 million and we outperformed the midpoint of our adjusted EBITDA guidance by almost 40%. Our core B2C revenue grew 68% versus Q2 of last year. Our organization is executing very well. We have struck a great balance of continuing to drive top line growth, while also capturing meaningful efficiencies that are helping our bottom line. From a top line perspective, our customers are playing more frequently than we expected, and we're seeing great success driving parlay mix in our sportsbook product. In fact, our parlay bet mix increased by 1,700 basis points in the quarter compared to Q2 of 2021. I really love how we are merchandising our same game parlays, which I think have great personality. Hopefully, you have seen our new parley merchandising in the app, which gives our customers fun ways to engage with these types of wager. We're also making great strides on improving the customer experience, such as ease of getting money on and off the platform and many other areas related to overall app usability and experience. We expect to continue to make these investments on an ongoing basis. And on the costs side, we continue to drive efficiencies during Q2. We captured $40 million of 2022 cost opportunities on top of the $50 million we captured in Q1. These efficiencies are in a variety of non-compensation areas and are a great demonstration of how our organization rallied around an important initiative and delivered great results. Looking forward to the back half of the year, we are geared up and ready to go. For online sports betting, the NFL season is right around the corner and our sports betting app is in fantastic shape with many new features and markets. Enhancing our parlay offering has been a top priority. We rolled out Parlay Insurance, which allows customers to avoid an outright loss of one of the legs in their parlay. We developed the capability for customers to void an individual leg of the same game parlay bet without voiding the entire parlay. And finally, we will be launching a feature that allows multiple same game parlay to be combined into one. Turning to new markets. We are seeing the benefits of the migration to our own bet engine, which gives us the speed and flexibility to offer differentiated North American focused market. We were the first to release look-ahead lines for all 272 NFL games. We also introduced new markets for Major League Baseball, such as wagers based on pitch speeds and pitch counts for plate appearance, and same game parlays for UFC fights. We will have more markets for the NFL that we plan to roll out when the season starts. Our social functionality is continuing to develop. Engagement with our feature that allows the customer to tailor fade their friends that has been growing rapidly. We also launched Betting Group, which makes it easier for group friends to engage together on the platform. While our social features are still very early in their life cycle, engagement has been very encouraging, and we are continuing to invest in developing the functionality as a differentiator for DraftKings. Turning to our iGaming product. Performance continues to be very strong. Gross revenues for the DraftKings brand on a same-state basis grew 35% year-over-year in the quarter. We are also focused on capturing the marketing, gross margin and G&A synergies from the Golden Nugget Online Gaming transaction that we outlined in the past. We understand the GNOG target customer better than ever and have already started tests around cross-marketing the Landry's and Golden Nugget online gaming databases and optimizing marketing mix, marketing messages, keyword optimization and other tactics to grow our overall iGaming business. In addition, we began our efforts to migrate the GNOG guest to the DraftKings platform, which we estimate will be complete in the back half of 2023. I'm also quite excited about how our recent investments in Web3 technology and DraftKings marketplace have positioned us over the past year to launch major new and disruptive Fantasy Sports games, Reignmakers football. In preparation for the NFL season kickoff, our customers are currently building up their collection of player card NFTs, which are officially licensed digital collectibles through our exclusive multiyear agreement with the NFLPA. As the season starts, Reignmakers football customers will be able to use their player cards to build fantasy lineup and compete in no fee contest for over $1 million in prices every week. We will even crown a world champion this season at the $1 million Reignmakers Football World Championship live in New Orleans. Beyond our NFLPA licensing agreement, we have also agreed to terms with the UFC to go Reignmakers UFC, featuring officially licensed NFT cards from their active roster. Our UFC relationship in this new Reignmakers game have already been announced, including the pre-launch Heatwave and NFT collection. The full Reignmakers UFC game is expected to go live in late Q4 this year, and we'll continue the momentum we've built around this new game franchise. We believe that nobody else in our industry is driving innovation in this way. And we think it's a great example of how DraftKings is forward thinking in sports entertainment. Our Web3 strategy implements use cases for blockchain and NFT technology that are endemic to our core business, disrupt the sports fan experience and create differentiation for DraftKings that helps separate us from the pack. We look forward to deepening our long-term customer relationships with this new experience. Moving to our outlook. Most importantly, our online gaming business is very healthy, and we are continuing to execute on operating efficiencies. As a result, we are improving the midpoint of our full year 2022 guidance for revenue and adjusted EBITDA. I now want to spend a few minutes discussing Q3. As many of you know, our Q3 revenue and adjusted EBITDA have the potential for high upside or downside volatility for two primary reasons. First, a significant amount of the quarter's expected revenue comes in the final three weeks of September due to the beginning of the NFL season. Hold rate tends to normalize over the course of a full NFL season, but it can vary significantly over the course of a few weeks. This can have a pronounced impact on Q3 considering July and August are amongst the lightest months of the year from a sports calendar perspective. Second, the last few weeks of September are heavy in terms of promotional activity, which is driven by customer acquisition and reactivation. While some of the promotions we run have predictable numbers behind them, there are others that depend on game outcomes, which amplifies potential volatility in Q3. In a few minutes, Jason Park will provide additional color on our guidance, as well as more detail on how to estimate DraftKings financial performance after game outcomes from the first three weeks of the NFL earnout. Looking ahead to the longer-term, the outlook for new state launches next year and beyond continues to be excellent. We are preparing for OSB launches in Maryland, Ohio, Kansas and Puerto Rico, which will make our sportsbook app available to 44% of the U.S. population pending licensure and regulatory approvals. In Massachusetts, the legislature passed the bill that is now pending executive action that would legalize retail and online wagering in professional and collegiate sports. Massachusetts represents an additional 2% of the U.S. population and California is a huge opportunity with 12% of the U.S. population. Online sports betting is officially on the ballot with Proposition number 27. And on November 8, Californians will vote on whether they want regulated online sports betting, while simultaneously helping solve issues such as homelessness, mental health and addiction, while providing funding and economic opportunity for all of the state's tribe. Even assuming all of these states, including California, launched in late 2022 or in 2023, we have more conviction than ever in our ability to reach positive free cash flow with our current capital reserves. Despite that conviction, we are still making a concerted effort this year to drive efficiency opportunities and early GNOG synergies and have already identified approximately $100 million of cost reductions for this year. As I mentioned earlier, I am very proud of the team for striking a great balance through the first half of the year by driving strong revenue growth while also making improvements to our long-term cost structure. We look forward to continuing to balance these dual objectives. In addition, we are finalizing our plans for 2023. We expect our fixed cost growth next year to be much more moderate than over the past few years as we have reached scale across many of our departments. As it pertains to state level economics, we continue to be on track to have at least 10 states that will be contribution profit positive this year. As these states mature further in 2023 and beyond, we expect them to generate meaningful free cash flow. Even assuming California launches next year, we expect that 2022 will be the year of peak adjusted EBITDA losses. We will share more specifics on our expectations for 2023 from both a revenue and adjusted EBITDA perspective on our next quarterly earnings call. I'm also focused on several other areas that are worth sharing with you. First, we are doubling down on our strategy and cultural approach to customer-centricity. At DraftKings, the customer is at the center of everything we do. As we have grown our organization, we are actively putting mechanisms in place to ensure that this continues to be a defining element of our culture and how we make decisions. Second, we're focused on strong talent management, with an emphasis on retaining and developing our top performers, building out world-class management, and building a culture where we manage underperformance efficiently and effectively. As we have slowed hiring, we have also used this as an opportunity to reemphasize how critical it is to hold comp at high. I've been very pleased to see how our team has rallied around the importance of these areas as well as the team has rallied around the other cost initiatives that we previously mentioned. Third, responsible gaming remains a big focal point for us as we continue to grow our footprint. We are laser-focused on creating best-in-class practices through research, training and education. For example, we became the first US operator to provide customers with access to BetBlocker software in July. BetBlocker is a leading responsible gaming and safer play not-for-profit charity. As a result of this collaboration, when DraftKings customers set restrictions on their gaming activity, those restrictions will apply across thousands of gaming sites, whether regulated or unregulated globally. Our responsible gaming team is doing a great job, and I am very proud to see their efforts being noticed externally as well. Our RG team took on three awards at this year's National Council on Problem Gambling Conference. The awards recognize the team's outstanding commitment to social responsibility as it relates to problem of gaming as well as the efforts of two of our team members specifically who won individual awards at the conference for the work they do at DraftKings to promote and institute strong responsible gaming practices and culture. I will now turn the call over to DraftKings' CFO, Jason Park, who will discuss our second quarter results and updated 2022 guidance.
Jason Park: Thanks, Jason, and good morning, everyone. I'll start off by providing color on Q2 and then I'll shift into our outlook for the back half of the year and beyond. Please note that all income statement measures discussed below, except for revenue, are on a non-GAAP adjusted EBITDA basis. We executed very well in Q2. And our customer activity continued to be very robust, with no indication that the macroeconomic environment is impacting engagement. In Q2, we generated $466 million of revenue and negative $118 million of adjusted EBITDA. Both of which outperformed the guidance we provided on our Q1 earnings call. Our B2C segment grew 68% versus Q2 of 2021 compared to Q1's year-over-year growth of 44%. Our customers responded well to our improved merchandising of bet types, in particular, our prepackaged same game parlay. Hold percentage was in line with our expectations, which was great to see. And customers were less reliant on promotions as Q2 saw a low overall promo reinvestment rate compared to prior quarters. We had 1.5 million monthly unique payers, which is 30% higher than the prior year period. And our average revenue per monthly unique payer was a record high $103, which is also 30% higher than the prior year period. Our adjusted EBITDA of negative $118 million was $72 million better than the midpoint of our guidance due to several factors. First, we had flow-through of our higher-than-expected revenue. Second, some expenses shifted out of Q2 into the back half of the year, notably marketing as we continue to optimize our overall marketing approach. Please note that this category of expenses will not improve our 2022 full year EBITDA since it was simply due to timing. Finally, we have continued to make great progress on driving cost efficiencies throughout the business, including some early wins on achieving GenOn synergy. We expect these cost efficiencies will drive $40 million of savings in 2022 on top of the approximately $60 million we had previously identified in Q1. I am very proud of our team for rallying around several internal initiatives, which have now resulted in approximately $100 million of in-year savings. Touching specifically on the $40 million of opportunities we identified in Q2, these were across a variety of areas up and down the P&L. Gross margin rate for Q2 was 41%, which is up roughly 900 basis points compared to the first quarter of this year. On a year-over-year basis, the 550 basis point decline was due to continued mix shift out of our DFS product and the inclusion of New York where gross margin is a rate headwind. I was pleased that the OSB and iGaming states where we were live prior to Q2 2021 saw rate improvement of approximately 700 basis points due to reduced promotional intensity. We continue to expect our gross margin rate to be roughly 40% for 2022 and then improve over the coming years as our promotional intensity naturally declines across our portfolio of states and we continue to improve our cost structure. Sales and marketing was up 18% versus Q2 of 2021. And external marketing spend was down on a year-over-year basis for the states that have been live for more than a year. We are very pleased with our LTV to CAC ratios and continue to be on track for three-year gross profit payback for our existing and new cohorts. Product and technology and general and administrative costs were up 39% and 83%, respectively, compared to the prior year period. The growth in P&T expenses is primarily the result of the additional engineering and product management resources we've added over the past year to ensure we are building the best product in the industry and to continuously strengthen our data science capabilities. For G&A, the growth is largely a reflection of the increased investment in our customer experience capabilities, which will continue to grow as we add new customer but at a slower pace given our current scale. Going forward, we are planning for meaningfully slower fixed cost growth for 2023. We will have reached staffing scale in many of our departments by the end of this year. And the focus now is on delivering more with existing resources. Moving into guidance. We are pleased to be raising our full year revenue outlook to a range of $2.0 billion to $2.18 billion from a range of $2.055 billion to $2.175 billion, which increases the midpoint from $2.115 billion to $2.13 billion. The midpoint of our increased revenue guidance implies 64% growth compared to last year and H2 revenue of $1.2 billion to $1.3 billion. We are increasing our revenue guidance due to the strength we are seeing across our online gaming verticals with no foreseeable degradation due to the macroeconomic backdrop. This is partially offset by a decrease in our 2022 outlook for marketplace, primarily due to our updated understanding of how revenue will be recognized across the entire NFL season for our gamified NFPs as well as some overall softness in the crypto markets. Looking at MUPs and ARPMUP, we expect ARPMUP growth to be modestly higher than MUP growth for the full year. In terms of quarterly seasonality, it holds as we expect, Q3 revenue should grow nearly 100% year-over-year, assuming no new jurisdictions launched. But if we see favorites winning consistently and large underdogs rarely winning, big parlays exceeding or certain promotions paying out in full due to game outcomes, that Q3 figure could come down meaningfully. The opposite is also true. I'll provide a few points of reference so that you all can understand the potential revenue volatility for Q3. First, we expect approximately $1 billion of OSB handle on NFL games in Q3. Second, last season, the average of our bottom 3 NFL hold weeks was approximately negative 10%. And third, as a rule of thumb, you can look at the five widest money line spreads for each week of the NFL season. If the underdog loses in each of those games, we would expect to have a negative hold in that week. If the underdog wins in one or two of those five games, we would expect to have close to normal hold. And if the underdog wins in three, four, or five of the games, we would expect to have better than expected hold. This rule of thumb is simplistic considering that specific spreads, over unders, parlays and relative game exposures impacted, too, but it should give you a general sense of how revenue for the quarter is trending for OSB. Moving on to our adjusted EBITDA guidance. We are pleased to be improving our full year 2022 guidance to a range of negative $765 million to $835 million from a range of negative $810 million to $910 million, an improvement of the midpoint from negative $860 to negative $800 million. The roughly $60 million improvement in the midpoint primarily reflects the flow-through from our improved revenue outlook from the core business, the $40 million of additional cost efficiencies and early Geno [ph] synergy wins that we have captured, and the timing shift in expenses from Q2 into the back half of the year. These items are partially offset by the high flow-through from lower marketplace revenue. From a quarterly perspective, we expect our adjusted EBITDA loss in Q3 to be modestly wider than our adjusted EBITDA loss in Q3 of 2021, assuming normal hold. As a reminder, revenue variance caused by favorable or unfavorable sport outcomes would also impact our adjusted EBITDA at a high incremental margin. We expect Q4 to be our best adjusted EBITDA quarter for the year as we benefit from higher seasonal revenue. Please note that our updated 2022 guidance includes only the jurisdictions in which we are live today. As you think about the rest of 2022, any states to launch would have minimal to negative top-line impact initially as we promote in those states and a negative impact on adjusted EBITDA as we spend on external marketing to drive early customer engagement at tax that are consistent with our two-year to three-year gross profit payback period target. With $1.5 billion in cash as of June 30, our liquidity position remains strong, and we believe we are well-capitalized to become free cash flow positive with existing resources. That concludes our remarks, and we will now open the line for question.
Operator: Thank you. [Operator Instructions] Our first question comes from Michael Graham. Your line is open. Michael Graham, your line is open.
Michael Graham: Sorry. Cut off for a second. Thank you. Thanks for taking the questions and congrats on the quarter. Tons of great proof points in there. I wanted to focus in on the MUP growth of 30%. And just wondering if you could comment a little bit on the mix between gross adds and retention, sort of what were some of the factors that drove each of those. And I thought it was really great that in your pre-2021 markets, your promotional intensity is coming down so much. Can you just talk a little bit about some of the dynamics there? And are you confident that with less promotional intensity, you're still optimizing your customer growth?
Jason Robins: Thanks, Mike. So first, on the MUPs question. We were really happy with MUPs growth. Historically, Q2 is a relatively slower quarter from a sports calendar perspective. This year, it was actually a tough comp because last year, there were over 200 NBA games in May and June. This year, there were only about 40 something. So real big difference there on the schedule side for one of the most popular sports. So definitely we were really happy with 30%, which is one of our strongest quarters of growth in a while. As far as like looking at how we got there and some of your questions on marketing and promotion, we continue to optimize there. And I think that, that -- it's just been always an area of focus for the company. And the more data that we get, the better we can do. We're also continuing to shift more into national marketing, as we've said in the past, once you get to, kind of, mid-30s percent of the population, that starts to make more sense. But, yes, a lot of it's optimization that has been the result of many years of testing and lots of data and analytics. We also started to see some early synergies with GNOG, which is great where we were able to continue to have the same kind of active customer base, while optimizing our marketing across both of those brands. .
Michael Graham: Thank you, Jason.
Jason Park: Yes. I would add Mike, as J Rob just said, MUP growth was right on with our expectations. The underlying retention rates that are an important part of the LTV outlook for each customer cohort right on a s well and consistent with what we've disclosed in the past during our Investor Day. So good retention. And we've always had the promotional intensity for existing cohorts, decreases over time as those new – as the promotional offers for brand-new customers is different than what is given to an existing customer and that is all coming to fruition.
Michael Graham: All right. Thank you, Jason and Jason. 
Jason Robins: Thank you.
Operator: Thank you. Our next question comes from Shaun Kelley of Bank of America. Your line is open.
Shaun Kelley: Hey, good morning, everyone. Thanks for taking my question. I wanted to ask generally just to kind of probably a little bit clarify. But on the customer acquisition environment, I think it was pretty clear from your comments in the outlook that you're not actually changing your external marketing spend. A lot of that has to do with timing when it comes to the broader guidance that you provided. So just could you sort of clarify that? And maybe just talk to us a little bit more broadly because we have heard from some others that have reported thus far that, the promotional environment actually has rationalized pretty dramatically in the last couple of months, and maybe how that is also playing through your strategic opportunities? Thanks.
Jason Robins: Yes. So I think it's a bit of both. We definitely are finding some marketing optimization, both through the shift into national from local as well as some early wins on the GNOG synergy side. So those are things that we view as just pure optimization. Part of also what we look at as optimization is how we time our spending throughout the year. And I think that because of that, there are also some optimizations that have come from shifts that won't actually lower the overall amount of spend. But we'll make it such that the performance is better because we've timed it better. So yes, there is a reduction, but there is also some timing shift. It's a combination of both.
Shaun Kelley: Thank you very much.
Jason Robins: You’re welcome.
Operator: Thank you. Our next question comes from Jason Bazinet at Citi. Your line is open. Jason Bazinet, your line is open.
Jason Bazinet: Thanks, sorry. I just had a quick question. Are you guys surprised at the resiliency of the consumer? And if you aren't, are there any sort of details that you’re willing to share about what’s happening underneath the hood? In other words, are there any sort of dynamics that are happening between new customer spending and sort of more loyal customers that have been with you for a while? Thanks.
Jason Robins: Yes. Great question. I think, I wouldn't say we're surprised. I think gaming has always sort of been known to be resilient. There's been a lot of research done on it in the U.S., in particular on the lottery, but throughout the world. And gaming has always been resilient to a variety of macroeconomic conditions. So, I wouldn't say we're surprised. Of course, like even despite that, we're all not taking that for granted. So, it's nice to see, and we're happy. And I think we're still obviously not taking anything for granted.  But I don't think I would go as far to say we're surprised because I'd say that was our baseline expectation going in. And it's consistent with what's been seen through many decades of research across both brick-and-mortar and online. As far as what's going on under the hood, it's really across the board. We're just continuing to see really strong retention numbers. Our average revenue per player, as noted, went up 30% year-over-year. So, it's really kind of across the board. There's nothing in particular I can point towards to say this segment is outperforming that one.
Jason Park: Yes, I would agree. We had at least three different teams try to unpack any trends in consumer behavior versus prior year, versus expectations, looking at bet frequency, average bet size, a variety of other factors. Different teams had different hypotheses. And the net result was, wow, there's no discernible impact.
Jason Bazinet: Well, okay. Thank you very much.
Operator: Thank you. Our next question comes from David Katz of Jefferies. Your line is open.
David Katz: Thanks for taking my questions. Number one, I wanted to just unpack the cost base a little bit. You've obviously done well of trimming some things. When we look at advertising in particular, can you talk a bit about the base of advertising contracts that may be a bit more temporarily fixed or multiyear versus those that you can put your hands on the dials of more immediately and flex in and out as you move forward?
Jason Robins: Yeah. So that's disclosed in our Q. You can look that up. We have a list of commitments. We don't break out which ones are marketing versus things like rent, lease agreements and other things. But you could see what our overall long-term commitments are. What I would tell you is the majority of our spend is flexible. We certainly have some deals. We like those deals for the most part. There's a few that, we'll probably optimize out of, and all of them are in relatively short-term contracts for the most part. But the majority of our spend is flexible, and we like it that way. And certainly, with the right strategic deals, we've leaned in. And we think that, that can be something that gives us a true differentiator on the marketing front. But we also like having an opportunity to be flexible and to test and move things around. I will note that, even within deals, we can do that. Marketing partners that we have deals with, we test all sorts of different things. So it's not like the media itself is fixed. We can optimize within that partner. So partners with large footprints, there's a lot of different things we can do. And I expect the performance of the deals to improve as we continue to optimize across the years.
David Katz: Perfect. And if I can follow-up quickly on how you would sort of gauge the targeted parlay mix at maturity and sort of where we are today? And what that does to your sort of overall hold rate as you approach it?
Jason Robins: Well, I think we all don't know what it can get to. I mean, it's been increasing rapidly, as noted on our call. We had about a 1,700 basis point increase year-over-year in terms of percentage of bets made as parlay. So that's a pretty big gain. We're obviously not done. And I think we can hopefully see it continue to go up. Right now, I think a good ceiling – minimum ceiling, I would say, is where handle is, which you can see in the reports from some of the states. But we continue to close that gap, and I think that, they're continuing to increase, too. So it feels like there's a pretty high ceiling there. As far as that does hold – the way you could think of it is it's not even just parlay mix. It's number of legs. Every leg of a parlay is like its own bet. So the percentage that you would take would be taken off of each leg. So the more legs you can get, obviously, more parlays. But more legs you can get on parlays is also another really good thing. And it can increase hold quite a bit. Obviously, it depends on a number of different factors, like the underlying holes of the market, but it definitely can increase hold quite a bit, if you can get more parlays and more legs on those parlays.
David Katz: Thank you very much.
Jason Robins: You're welcome.
Operator: Thank you. Our next question comes from Carlo Santarelli of Deutsche Bank. Your line is open.
Carlo Santarelli: I wanted to talk a little bit about promotions. We've heard several times that the promotional intensity has waned a little bit. When you look at kind of the data that we all construed, from a year-over-year perspective, and obviously, the data isn’t perfect, I'll be the first to acknowledge that it doesn't necessarily appear that that's the case, whether you're looking at it as a percentage of handle, on an absolute dollar basis or whatnot, in some of the states where it's trackable. So, would you guys kind of maybe comment on what you're actually seeing out there with respect to promotions or if there's things within the promotional numbers that maybe we can't see and different ways people go about enacting the business that's making -- that's giving the impression that promotions are kind of taming, to show the numbers that maybe we can't see in different ways people go about enacting the business that's making -- that's giving the impression that promotions are kind of taming?
Jason Robins: I think sometimes, when people say promotions, they're also talking about advertising. And the mix in is part of what sometimes people are saying. As far as actual like customer giveaway promotions, I think New York is a good case study where it's pretty clearly come back. Hard to tell, to your point, on the macro side because depending on the nature of the promotion, it can show up in areas of the state reported numbers in different areas of the P&L. So, it is tough to tell. I can tell you, on our end, we've seen in existing states a decline each year since launch year. That's been consistent. That hasn't been a recent thing since we launched OSB. And we expect that to continue to be the case. And obviously, the mix of new states coming in, I'm sure, for example, if California is up and running before next NFL season, you're going to see an uptick in promotions in that state, and that might drive some overall lifting. So, it, kind of -- there's a lot of moving variables. But the way we like to look at it is in a state, year one should be the highest promotion year. And then it should decline until it reaches a steady state, which we've outlined in our Investor Day, what we expect that to be. And so that's really how we look at it on a state-by-state basis. And when we look at what competitors are doing, to your point, it's hard to tell. We obviously, have a lot of qualitative evidence from our team going and looking at what's in the market. We have a detailed competitive intelligence team that goes through and catalogs everything. But the impact on the actual revenue or other metrics in the P&L, it's tough to tell because there's a lot of moving parts. And the state reports, as we've noted in the past, are not necessarily capturing things consistently operator to operator.
Carlo Santarelli: Thank you, Jason. That's helpful. And then if I could, just one follow-up. I think the cash you used in the field was about $260 million. Obviously, you have the operating loss in there. And then I think it was $96 million of cash paid for acquisitions that kind of bridge the majority of that gap along with the software cost and the traditional PPE. The $96 million, is that related to GNOG or is that something incremental?
Jason Park: No, that's absolutely a one-time cash usage in the quarter, Carlo, related to the GNOG acquisition. It was a pay down. And we took the option to prepay a term loan that came with the GNOG asset.
Carlo Santarelli: Okay, got it. Because that -- the funding of the acquisition was an all capacity deal, right? That was just something separate? Its an all-stock deal, I apologize.
Jason Robins: Yes, it was an all-stock deal. We chose to pay down the term loan just to keep our balance sheet healthier.
Carlo Santarelli: Understood. Thanks guys.
Operator: Our next question comes from Ed Young of Morgan Stanley. Your line is open.
Ed Young: Taking my question, I want to ask about ARPMUP, which was very strong in the quarter. And I presume that was on stronghold. But you said the hold was in line with your expectations. Were your expectations that it will be up on -- I guess I'm referring to you saying, you've got very good traction to increasing your product mix. So what kind of proportion of the growth was driven by maybe hold and structural gains from product? Thanks.
Jason Robins : Yes. It's a great question, and I'm glad you asked, because it gives us a chance to unpack it a little bit. So when we say, it was in line with expectations, what we mean is based on sport outcome. That's typically what we like to share, is, hey -- just because those are things that aren't fundamental to the business. They're more just randomness of sport outcomes. So if we have a quarter where there was a shift positive negative on the sport outcome side, of course, Q3 is the one where that's most likely to happen given only three weeks of NFL having such an outsized impact on the quarter. However, exactly as you said, we did see parlay mix increase. We've been seeing that. That was a year-over-year comparison for a couple of quarters now since we launched our own same-game parlays and started promoting it more heavily back in Q3 of last year. So, we did expect an increase in hold that would result from that. And that was in line with our expectations as well.
Jason Park : I would just add, Ed, two more components of the unpacking of ARPMUP. First, you've got the promotional decline, which is impacting your ARPMUP growth, which I alluded to in the script. And then the other thing is product mix. So, Q2 with -- especially with this year, lapping last year's heavy NBA sport mix in the quarter and this year, the playoffs ending earlier. Just as a reminder, remember the 2020 to 2021 NBA season started late, so it ended late, versus this year, it started more normal, so ended earlier than last year. So what you're seeing also is a little bit of a product mix shift between iGaming and OSB in the quarter.
Ed Young: Useful. Thank you.
Jason Robins : Thank you.
Operator: Thank you. Our next question comes from Jed Kelly of Oppenheimer. Your line is open.
Jed Kelly: Question, two, if I may. One, can you just talk about your merchandising strategies around same-day parlay and how you think that compares to some of your other competitors? And then can you give us any update on how your launches in Canada is going? Thank you.
Jason Robins : Sure. So we recently launched some new merchandising zones in the app. I think that first step for us is to build the product. And then obviously, as we continue to enhance that product, add more markets, bring more in-house, we also are focusing on how we market it and merchandise it in the app better. Really, for us, it's about having it feel native, not feel like we're pushing something on the customer. We use fun names that are in line with the sorts of things that we would name our daily fantasy contest, that sports fans we think would find enjoyable and at times humorous and just try to give them some personality. And really, it's all database. So we test things to see what works. We're working on updating our data science engine so that those things become fully personalized. They're not yet, but we're working on that. So there's a lot of, I think, behind the scenes work too that really optimizes getting the right thing in front of the right customer at the right time. As far as Canada goes, I think Ontario is kind of what we expected. We always said that we didn't think we'd be able to achieve quite the same share as we believe we will be able to achieve in the US. We have projected 10% to 20% in Ontario as opposed to 20% to 30% in US states. We also always had said pretty consistently that we thought it would be more of a slower grind given the nature of the market where there was just a lot of continuity between the gray market and now versus, I think, US states, which when they open up, it's really more greenfield. So I think that those are some real key differences. And for those reasons, we always sort of felt like, Canada, we can achieve strong share, but probably wouldn't have quite the same ceiling that we believe we have in the US and don't have the same expectation that we would have in the US. That said, we've always had a very strong DFS database there. We have a brand that's fairly well known in Canada. And I think for those reasons, we do feel like we can do well there.
Jed Kelly: Thank you.
Operator: Thank you. Our next question comes from Joe Stauff. [Technical Difficulty] Your line is open.
Joe Stauff: And then maybe just a follow-up on costs. I wanted to...
Jason Robins: You got cut off at the beginning. We missed the first part. Can you start again?
Joe Stauff: Yes. Sorry about that. I had a question on users and then maybe a follow-up on costs. In the quarter, I wanted to check to see what user growth look like in some of your older states, whether it be New Jersey and so forth. And then on the cost side, I'm wondering, if we look at your historical CAC, I'm wondering what's the right way to think about your increased use of network advertising, and how that could flex it down?
Jason Robins: Sure. So first, we continue to see growth across pretty much every state. I know that some of the older states we've had, we've looked and still see growth year-over-year in users there. So that's been really encouraging. This is really exactly what we hope for, that we can dial back on promotions and marketing spend and continue to see user growth. And that's what we're seeing. As far as the CAC optimization question, I think what you're describing is exactly what we've also been talking about for the last couple of years, that early on, there was some inefficiency on the marketing side because you had to localize everything, and the rates are more expensive on a local basis, particularly on things like television. So being able to go to national networks certainly will help us optimize. And the nice thing about that is that it becomes a continuous tailwind because there's more states get added, those same advertisements are reaching people that previously were not able to eligible to play the product. So you don't have to do -- I mean, we obviously will do some local heavy ups at the very start of a state launch. But they'll be shorter imbursed and less intense because we have such a strong national footprint that we're starting to build.
Joe Stauff: Understood. Thank you.
Operator: Thank you. Our next question comes from Daniel Politzer of Wells Fargo. Your line is open.
Daniel Politzer: I have a two-part question on OpEx. Your sales and marketing, I know was meaningfully lower in the quarter, with some shift out. Is there also an opportunity to benefit from lower media costs just given maybe a softening advertising market or as your competitors maybe offload some of their supply of traditional media spend? And then the other part, just in terms of the engineers in terms of the FTEs, where are you in terms of that? And where do you maybe look to get to as you continue to ramp there? Thanks.
Jason Robins: Yeah. It's a good question. I think on – I break it down a couple of ways. First, when it comes to television, particularly things like in-game advertising, the leagues, and in some cases, the networks are still putting limitations on the number of spots that can be featured from our category in a given game, for example. So unfortunately, that doesn't really – if you see auto and other sorts of large insurance categories dialing back at all, I don't know if they are or not, but just as an example, that wouldn't really help us as much. But I think as time evolves, we'll have to see where that goes. And in other channels, we do benefit a little bit, but not maybe as much as you would think from things like IDFA. Because, for example, on the app side, what we've really just seen is a shift away from iOS and into Android. So iOS has gotten a little cheaper, which is good because we have more iOS customers. But I think that overall, the market hasn't really changed a whole lot. It's just been more of a shift into Android. So some softening, but not too much. And then probably where the biggest softening on the macro side is, which is television, unfortunately, we're not benefiting from our categories, not benefiting from the – for the reason I described earlier. That said, we continue to be able to optimize, as you noted on the quarter. I think that in some ways, I'm actually very happy that it wasn't just due to rate reductions because it means we're finding meaningful synergies with GNOG and real optimization opportunities. And we'll have to see what happens with rates over time.
Daniel Politzer: And then just on the – the FTEs, in terms of the ramp there?
Jason Robins: Sorry. Say one more time?
Daniel Politzer: As you continue to hire the engineers and ramp your full-time employees there, like where are you in terms of that ramp as you think about that?
Jason Robins: Yeah. I mean, we're still definitely adding engineers. But as we noted, we are meaningfully slowing fixed cost growth in 2023, which means less hiring in 2022. And certainly in 2023, obviously, heavy hiring, in 2022 would lead to meaningful fixed cost growth in 2023. So we are slowing quite a bit. And I think that is, because we're reaching scale in a number of our different departments, which is great to see. Engineering, we are still hiring, but we've slowed the pace there as well. So I think across the board, we've slowed down and in some departments are really starting to reach full scale.
Daniel Politzer: Thanks.
Operator: Thank you. Our next question comes from Joe Greff of JPMorgan. Your line is open.
Joe Greff: Hey, guys. Jason Park, I just wanted to follow-up on your comments about taking out a meaningful amount of fixed costs. I guess, that was more of a forward year commentary and elaborating on this year. But of the $2.9 billion of adjusted operating expenses this year, how much of that would you characterize as fixed? Obviously, G&A is going to be a big component of that. You disclosed that. And does that comment about costs coming – fixed costs coming down next year on an absolute basis, is that inclusive of new state launches, such as Maryland, Ohio, Kansas, Puerto Rico, Massachusetts, and potentially California? Thank you.
Jason Park: Yeah. Great question. So yeah, absolutely, looking into 2023, we've been consistent in saying that the fixed cost growth will slow down meaningfully into next year. In terms of more specifics, we are working through our detailed budgeting process now. We'll be in a position to provide more color on what 2023 will look like likely in our November earnings call. On your question around sort of incorporating new state thinking into our fixed cost growth, I would say, we think about new states really down to the contribution profit level, gross profit minus dedicated advertising within each new state. I would say that, new states at this point won't drive additional fixed cost growth.
Joe Greff: Thank you.
Operator: Thank you. Our next question comes from Chad Beynon of Macquarie. Your line is open.
Chad Beynon: Just in terms of the competition that you're seeing out there, I know there were a few competitors that kind of had a half baked product last NFL season, and they have at least a strategy in place to attempt to gain market share this year. Do you expect that there will be any market share shifts this fourth quarter into NFL, or do you think the big three, obviously, including you guys, will be kind of stable as we see it? Thanks.
Jason Robins: I feel very good about our NFL plan. And I think that, we've kind of gotten used to each year for one reason or another. We hear chatter of this or that competitor that are going to make some big moves. And we feel like we've held pretty well through all of that. And I think we're just continuing to focus on our own plans and making sure that we're being very customer-centric and doing the things that we think will help us have the strongest market share over the long term. And my hope certainly is that, we gain share. I can't really speak for others. I know you were asking about some of our competitors and whether they'd hold or gain or not. I don't know. We're not privy to some of the plans they have. But I think on our end, we feel pretty excited about the plans we have for NFL season. We feel really good about the plans we have for activating around Star as well as continuing to maintain strong engagement, both customer acquisition, driving more parlays, and better bet mix and all the key metrics. And I think, if we execute that plan, then we're hopeful that we'll actually gain some share in the back half of the year.
Chad Beynon: Thank you very much. Appreciate it.
Jason Robins: You’re welcome.
Operator: Thank you. Our next question comes from Robin Farley of UBS. Your line is open.
Robin Farley: Thanks. I wonder for California, if you could remind us, what you're expecting. What that could be on a full year basis in terms of potential EBITDA loss initially? And then what your expectations are for maybe timing? Assuming a referendum would pass, what timing for that would be? Thanks. : Thank you. It's a good question. Obviously, we're a little ways from – away from there. We got to pass it first. And then I think as far as what the potential impact to the P&L could be next year, both top and bottom line, that's largely dependent on if it passes, of course, but then also timing of launch. So, really hard to say, I think once we have more clarity, hopefully, after the ballot initiative passes, within a little bit of time, there'll start to be some clarity if it passes on when the launch might occur. And at that point, I think we'll feel comfortable providing some estimates. But right now, there's just too many moving variables for us to do that.
Jason Park: Yeah. I would add, Robin, it's not just California. It's the pipeline, including Kansas, Maryland, Ohio, Puerto Rico, and it's knock-on wood, Massachusetts. There is a lead time between the formal utilization of the launch, which is regulation writing and licensing process. But -- so it's always a little hard to tell on exactly what the launch date will be. In terms of the economics of a new state, we did provide some color in our March 2022 Investor Day on what percentage of the population we would expect to acquire over the first six months and the effect of CAC. So that at least helps you understand what the marketing investment would be in the early period were a state to launch in the beginning of an NFL season.
Robin Farley: Okay, great. Thank you. And then just one quick follow-up. I think you alluded to in your remarks. Your withhold in the quarter as expected. I don't think it was specifically said in the slides or anything. But I guess in your comments, is that what we should conclude on the hold impact in Q2? Thanks.
Jason Park: Yes. We were very pleased with hold. It was as expected in the quarter.
Robin Farley: Great. Thank you.
Operator: Thank you. Our next question comes from Bernie McTernan of Needham. Your line is open.
Bernie McTernan: For me. First, just keeping on California. Jason, you sound pretty bullish on the potential for the ballot [ph] initiative to pass last quarter. I just wanted to give you gauge your temperature to see if anything's changed in your thoughts on the probability there. And then for Jason Park, can you just put some context around the $100 million of cost reductions this year? Is that the run rate we should expect for the end of the year? And how long should it take to get to that run rate level? And which line item should we expect to see it then?
Jason Robins: So first, on California, I think really nothing has changed. We are where we expected to be. Right now, we're very focused on educating voters about what the benefits to homelessness, mental health, also having a legal and regulated online sports betting market will help keep customers who are betting through a legal sites right now safe. So I think there's quite a few benefits for California. And we're focused on trying to articulate that to the voters. So we'll see where it goes. But we feel just as optimistic as we did a quarter ago, and I continue to believe that we'll get this over the line. But still a long way to the election, so lots can happen. We're certainly not celebrating yet, and things could swing either way. Jason, do you want to take the…
Jason Park: Yeah. In terms -- just to reiterate, we had alluded to about $60 million of 2022 opportunity -- cost opportunity that we talked about back in May and another $40 million in 2022 opportunity that we were able to find in the quarter. So a couple of things, Bernie, A, that $100 million is not on a full year basis. So going into 2023, that would improve just looking at it on a full year basis, I do feel like those are permanent improvements in our cost structure. B, some of those items -- I mean, it was up and down the P&L, ranging from vendors that fit in our COGS, vendors in sales and marketing, product and technology and G&A. And so to the extent that some of the savings were in COGS, you would expect the quantum to increase as revenue increases too as we negotiate better rates on some of those folks. So that's a little bit more color. In terms of specifically where the $100 million came out from COGS versus P&T versus G&A versus S&M, it was really across everything. I would say this was a really dedicated initiative that we drove to the company. It's been a great mindset shift across the employee base to balance top line growth with finding efficiencies. I think there's just a ton of buy-in company-wide that we can do this type of thing without impacting the customer. And so we're really proud of the outcome here, and we'll always be looking for more opportunities like that.
Bernie McTernan: Great. Thank you both.
Jason Robins: You’re welcome.
Operator: Thank you. Our next question comes from Brandt Montour of Barclays. Your line is open.
Brandt Montour : Hi. Thanks for taking my question. So just on GNOG, a few months in now after gaining full control of that asset. I was just wondering if you guys have an updated view on where you think your market share can get on that on the combined iGaming business?
Jason Robins : Yes. I think a lot of that obviously remains to be seen. But right now, we feel it's very consistent with what we've shared in the past and our Investor Day presentations. And perhaps there's a little upside there. But I think it's early to -- for us to sit here and say it's going to be better than what we've previously shared. So I think that's a good number to go off of. And we feel like that's the right target for now. And you're right. We've had it for a quarter. It's still a very short period of time. We haven't migrated the platform yet. We haven't really been able to see the realization of some of the revenue synergies that we believe will occur from that. So we're cautiously optimistic that we can improve even beyond what we've said in the past. But we're still too early to be saying, we think, it's going to be any different than what we said previously.
Brandt Montour : Great. Thanks so much.
Jason Robins : No problem.
Operator: Thank you. Our next question comes from Jason Bender of JMP Securities. Your line is open.
Jordan Bender: Hi. It’s Jordan. Thanks for taking my question. The guidance raise for the full year was slightly less than the beat in the quarter. Outside of the marketplace revenues, is there kind of anything to call out in that guidance raise? Thanks.
Jason Robins : Well, I think, there's a couple of things. One, really, the OSB and iGaming business are actually up. So we are increasing the outlook there. Marketplace, the primary reason that changed is as we got closer to launching Reignmakers. We updated our assessment of the way revenue needs to be recognized given that the games are played throughout the quarter -- excuse me, throughout the season. So not only does that shift some Q3 into Q4. It also shifts from H2 into 2023. Importantly, those cash flows are received in year. So that is consistent with what we thought in the past. But from a GAAP accounting standpoint, some of the revenue will need to be recognized at later points in the season. That was the primary driver of why we didn't 100% flow through to beat. Last time, we hadn't quite completed our assessment of revenue recognition, and the update was baked into this one. But I do want to reemphasize that we actually took up the forecast for OSB and iGaming.
Jordan Bender: Great. Thank you.
Operator: Thank you. Okay. This does conclude the conference portion of the call. I'd like to turn the call back over to Jason Robins, CEO, for any closing remarks.
Jordan Bender: Thank you all for joining us on today's call. We had an excellent second quarter. We continue to be excited about 2022. And we look forward to speaking with you over the next few weeks. I hope you all stay safe and well and are enjoying your summers. Thank you.
Operator: Thank you. Ladies and gentlemen, this does conclude today's conference. Thank you all for participating. You may now disconnect.